Operator: Welcome, and thank you for standing by for the Fourth Quarter 2019 Earnings and the 2020 Guidance Call. At this time, all participants are in a listen only-mode. [Operator Instructions] Today's conference is being recorded. [Operator Instructions] I would now like to turn today's meeting to Joe Bogdan. Sir, you may begin.
Joe Bogdan: Good morning. Thank you for joining Magellan Health's full year 2019 earnings and 2020 guidance call. With me today are Magellan's CEO, Ken Fasola; and our CFO, Jon Rubin. The press release announcing our fourth quarter earnings and 2020 guidance was distributed this morning. A replay of this call will be available shortly after the conclusion of the call through March 31, 2020. The numbers to access the replay can be found in the earnings release. For those who listen to the rebroadcast of this presentation, we remind you that the remarks made herein our as of Friday, February 28, 2020, and have not been updated subsequent to the initial earnings call on that date.During our call, we will make forward-looking statements, including statements related to our 2020 guidance. Listeners are cautioned that these statements are subject to certain risks and uncertainties, many of which are difficult to predict, and generally beyond our control. These risks and uncertainties can cause actual results to differ materially from our current expectations, and we advise listeners to review the risk factors discussed in our press release this morning and documents we filed with or furnished to the SEC.In addition, please note that Magellan uses certain non-GAAP financial measures when describing our financial results. Specifically, we refer to segment profit, adjusted net income, and adjusted EPS, which are defined in our SEC filings, and in today's press release. Segment profit is equal to net revenues less the sum of costs of care, cost of goods sold, direct service costs, and other operating expenses, and includes income from unconsolidated subsidiaries, but excludes segment profit from non-controlling interest held by other parties, stock compensation expense, special charges or benefits, as well as changes in the fair value of contingent consideration recorded in relation to acquisitions.Adjusted net income and adjusted EPS reflected certain adjustments made for acquisitions completed after January 1, 2013, to exclude non-cash stock compensation expense resulting from restricted stock purchases by sellers, changes in the fair value of contingent consideration, amortization of identified acquisition intangibles, as well as impairment of identified acquisition intangibles. Please refer to the tables included in this morning's press release, which is available on our website, for a reconciliation of GAAP financial measures to the corresponding non-GAAP financial measures.I will now turn the call over to our CEO, Ken Fasola. Ken?
Ken Fasola: Thank you, Joe. Good morning, and thank you all for joining us. I'd like to start by saying how truly excited I am to be here. When I first looked at Magellan, its rich history and noble mission, I knew the company had something very special to offer to our customers and members alike. I've not been disappointed. In fact, I'm more optimistic today than I was the day I started, and I'm energized about the opportunities that lie ahead of us.Before I share financial operating updates and near-term priorities, I wanted to provide our investors with my high-level assessment of my first 100 days as CEO. First, Magellan, in a word, is complicated. After talking to customers, investors, and Magellan employees, it's clear we have an opportunity to bring improved clarity to our operating model and accelerate the pace of investment in digital capabilities and process improvement. We've demonstrated an ability to drive distinction and differentiation, managing complex conditions. And we've seen the value that can be created as a byproduct.Specifically, I believe there is real opportunity to revitalize our behavioral and specialty businesses. This is in our DNA. We cannot, however, scale effectively trying to be all things to all people, and thus, need to create unique, differentiated offerings in defensible market positions. To that end, I've initiated a comprehensive portfolio analysis of all of our lines of business, designed to enhance our value proposition and Magellan's brand in the marketplace. Magellan was built on a platform of cutting edge, market-leading products and services. This increased focus on an execution will help us maintain, and in some areas, regain the high ground and lead the market through product ideation, both clinically and economically.Vibrant cultures attract and retain talent. We have great people at Magellan. I've been in front of nearly 4,000 employees in face-to-face town hall meetings since my appointment on November 8. And I have been truly impressed. I'm committed to investing in leadership development broadly across all disciplines. I'm also committed to strengthening senior leadership, as evidenced by my hiring of Jim Murray, who many of you know from his time at Humana. Jim is an incredible executive, one I've worked closely beside in the past, and have the utmost confidence in. Jim and I share a strong belief that actions speak louder than words. The moves we are making will reinforce our commitment to excellence, anchored by an investment in the culture and leadership necessary to execute and honor our commitments.Before I talk about Magellan's future and my focus, let me take time to acknowledge our accomplishments in 2019. For the full year 2019, we reported net revenue of $7.2 billion, net income of $55.9 million, and earnings per share of $2.28. Our adjusted net income was $91.7 million, or $3.73 per share, and we achieve segment profit of $252.7 million. Jon will provide additional details on to 2019 results later in the call.Within the healthcare segment, was successfully executed against our Magellan complete care cost of care initiatives. In Virginia, our medical loss ratio improved to approximately 90%. The result was a modest segment profit contribution in 2019 compared to a $45 million loss the prior year. I'm proud of the team for delivering on their commitment, and look forward to continued progress in 2020.In the third quarter call, our behavioral and specialty health unit reported an unexpected increase in utilization that was largely concentrated in behavioral health inpatient services. While this variance created some pressure on 2019 earnings, we successfully negotiated rate increases for 2020, which we expect to cover the increase in cost of care. I'd also note that we did not experience any additional behavioral cost of care pressure during the fourth quarter.Turning the Magellan Rx, we re-contracted our retail network, as well as our wholesale, wholesaler, and manufacturer agreements to lower our cost of goods, creating savings for our customers, while improving our gross margins. I'm also pleased that we were awarded the Medi-Cal pharmacy benefit administration contract with the state of California at the end of 2019. When we begin servicing this contract in 2021, we'll be managing the pharmacy benefits for more than 13 million Medicaid members in the State of California. With more than half of the states in the country as pharmacy benefit administration customers, we continue to strengthen our already dominant position in this important and growing market. Finally, we started investing in future operational improvements across the organization. I'll elaborate on the nature of these activities in a moment, but I note that we expect savings to begin to materialize in late 2020 and early 2021.Let me now turn to the focus of our important work for 2020. In my experience, a strong alignment between a company's culture, execution, and strategy leads to a productive work environment with engaged employees, increased business opportunities, and enhanced value for members, customers, and shareholders. The culture at Magellan is as strong as any I've witnessed. Since my first day as Magellan's CEO in mid-November, I've been learning about our unique capabilities and distinctive competencies. I've been traveling the country and meeting with our customers and employees. This firsthand feedback about our challenges and opportunities is helping me shape a strategy that focuses on meeting market demands for our customers, improving health outcomes for our members, and creating value for our shareholders.As we work to finalize our long-term strategy, we're focusing on four immediate priorities for Magellan. First and foremost, we will deliver on our existing commitments. The promises we make must be promises that we keep to our customers, members, and shareholders. Over the last few years, we've not consistently performed to our own or others' expectations. That's already begun to change, and the remaining near-term priorities will accelerate the pace at which we move forward.Second, in order to be competitive, we must lower our operating costs and reinvest in our businesses by improving and automating processes, leveraging technology, consolidating platforms, and reducing any friction that our customers, providers, and members experience when doing business with us. To help drive these efforts, we've established a transformation office solely focused on executing against these important initiatives. The range of work streams is broad, targeting process improvement in over a dozen different disciplines.Third, as we transform how we do business, we're launching an innovation lab to strengthen our capabilities in technology solutions, product innovation, and service delivery. Magellan has deep experience in managing some of the most complex, high-cost areas of healthcare spend. We know that our payer partners are realizing limited success in managing high-cost populations, notably in fully integrating behavioral and physical health. We'll create new capabilities and programs to bring meaningful value to our clients and members.I'll talk in a moment about how we've begun to revitalize and enhance our behavioral and specialty health portfolio to address the critical needs in this market. But I do think it's worth mentioning that these challenges are negatively affecting our nation. According to the Centers for Disease Control, U.S. life expectancy either fell or stayed flat between 2014 and 2017. This is largely attributed to fatal drug overdoses and suicide deaths, despite advances in care for other conditions. Magellan has the clinical capabilities, best practices, and expertise to help our customers address these issues.Finally, as I traveled around the country and met with state Medicaid directors and governors, CEOs and clinical leaders of health plans, and providers, I've heard many similar points being made by this diverse group. The impact of behavioral health, the lack of integration in care delivery, and the high cost of drugs are among the most prevalent challenges they're confronting on a daily basis. And these challenges are growing at a rate that is greater than many of the risk bearers can handle. In the past, we've made significant investments in Magellan Complete Care and Magellan Rx. And as a result, we've experienced recent growth within these businesses, including the pharmacy PVA win in California.I believe we have further growth potential across all our businesses, and we'll sharpen our business acumen to fully capitalize on these opportunities. In particular, I see a large market for a revitalized and expanded suite of payer solutions within our behavioral and specialty health business. Previously, many viewed this business as somewhat of a binary choice. Customers either carved in or carved out these services. In my conversations with current and former customers, it's obvious that there are many ways in which we can provide significant value to our customers. Whether these services are insourced or outsourced, we believe a more integrated behavioral health model is possible, and one with a more pronounced positive outcome for members. Leveraging our deep clinical experience and locally-based employees, combined with predictive analytics and new care management platforms, consumer engagement, and proactive segmentation of specific populations, we can be positioned to provide services that are unequaled in the marketplace. To achieve that, we are prepared to make the necessary investments in people, processes, and technologies to capture the current and emerging market opportunities in behavioral and specialty, and continue our progress in MCC and MRX. I look forward to sharing more about this progress in future calls.So looking ahead to 2020, we announced in our press release today that net income is expected to be in the range of $42 million to $62 million, which translates to earnings per share of $1.69 to $2.49. We expect adjusted net income of $83 million to $103 million, and adjusted earnings per share of $3.34 to $4.14. We anticipate 2020 segment profit in the range of $250 million to $280 million, and revenue for the year in the range of $7 billion to $7.4 billion. I'm optimistic about the long-term opportunities ahead, and confident in our ability to achieve these 2020 guidance.Now, let me turn the call over to Jon to review the 2019 results and our 2020 guidance in more detail.
Jon Rubin: Thanks, Ken, and good morning, everyone. I'm pleased with our results for the fourth quarter, which were solid and in line with our most recent full year 2019 guidance. For the year ended December 31, 2019, revenue was $7.2 billion, largely consistent with 2018. Net revenue growth and MCC was largely offset by the loss of a health plan PBM customer due to an acquisition and the plan reduction in the geographic scope of our Part D pharmacy plan. Net income for the year ended December 31, 2019 was $55.9 million, and EPS was $2.28. The increase in net income was primarily due to higher segment profit. Adjusted net income for the year ended December 31, 2019 was $91.7 million, and adjusted EPS was $3.73, compared to $61.7 million and $2.46 per share for the year ended December 31, 2018.Segment profit increased from $228 million to $252.7 million year-over-year. 2019 segment profit included approximately $23 million of favorable out of period items, versus $10 million in 2018. The majority of these out of period adjustments related to our healthcare segment. For the full year, we reported 2019 healthcare segment profit of $177.4 million, compared to $149.1 million in 2018. The 2019 increase was primarily driven by MCC cost of care improvements in Virginia, partially offset by the contraction in the MCC Florida footprint and the behavioral and specialty utilization pressure that we discussed previously. We reported pharmacy management segment profit of $110.4 million for the year ended December 31, 2019, which was an increase from the $104.4 million in 2018. This year-over-year increase was primarily due to strong results in our specialty division and improved margins in our PBM business, partially offset by lower discretionary benefits in 2018.Regarding other financial results, corporate costs, inclusive of eliminations but excluding stock compensation expense, totaled $35.2 million for the year, compared to $25.6 million in 2018. The increase is mainly due to lower discretionary benefits in 2018. Excluding stock compensation expense and changes in fair value of contingent consideration, total direct service and operating expenses at the percentage of revenue were 14.9% in the current year, as compared to 14.2% for the prior year. This increase is primarily due to business mix changes and lower discretionary benefits in 2018.Stock compensation expense for the year ended December 31, 2019, was $25.5 million, a decrease of $4 million from the prior year. This change is primarily the result of accelerated vesting of certain equity awards in 2018. The effective income tax rate for the year ended December 31, 2019 was 30.8%, compared to 44% for the prior year. The decrease was largely driven by suspension of the nondeductible health insurer fee in 2019, partially offset by book to tax differences related to stock compensation expense.Our cash flow from operations for the year ended December 31, 2019 was $115.8 million, compared to $164.8 million for the prior year. The decline is largely due to the timing of receipt of MCC capitation payments. As of December 31, 2019, the company's unrestricted cash and investments totaled $195.4 million, which represents an increase of $65 million from the balance at December 31, 2018. Approximately $134.8 million of the unrestricted cash and investment at December 31, 2019 is related to excess capital and undistributed earnings held at regulated entities. Restricted cash and investments at December 31, 2019 of $475 million reflected a decrease of $52.6 million from the balance at December 31, 2018. This decrease was primarily attributable to a delay in health plan capitation payments from the State of New York, partially offset by growth in MCC Virginia.Now, let me walk you through a summary of our 2020 guidance. We're projecting net revenue of between $7 billion and $7.4 billion. Net income for 2020 is expected to be in the range of $42 million to $62 million, which equates to a diluted EPS range of $1.69 to $2.49. We expect adjusted net income in the range of $83 million to $103 million, and an adjusted EPS range of between $3.34 and $4.14. Our 2020 guidance per segment profit is a range of $250 million to $280 million. Our 2020 guidance ranges largely maintain our current level of margins, while simultaneously funding necessary investments to position us to meaningfully accelerate our prospects for future growth and margin expansion in 2021 and beyond.I'll now highlight the key investments included in our 2020 guidance. For pharmacy, we'll invest approximately $10 million to $15 million in operating costs and up to $30 million in capital costs to prepare for implementation of the Medi-Cal PBA contract starting in January of 2021, at which point the contract will produce approximately $75 million to $80 million of annual revenue at typical fee for service pharmacy benefit administration margins. From an enterprise standpoint, we're investing $15 million for the transformation and innovation initiatives that Ken discussed. These investments will focus on growth, new products, and operating process improvements. We expect the earnings benefit from these investments to begin in the back half of this year, and essentially offset the full year 2020 investments. Going forward, we expect the net benefit to increase to $30 million in 2021 and over $75 million in 2022. Now, to put this in perspective, were we to have already achieved the projected return on these investments in 2020, our segment process would be in the range of $350 million to $400 million.Now, I'll discuss the key year-over-year drivers of our 2020 guidance. To begin, our full year 2019 segment profit of approximately $253 million needs to be adjusted by three items to normalize the run rate for 2020 comparison. First, $23 million of favorable out of period adjustments. Second, $7 million of severance, and third, $12 million of additional segment profit in 2020, related to the provision for non-deductibility of the health insurer fee. After adjusting for these three items, our 2019 normalized segment profit run rate would be approximately $249 million. The 2020 segment profit guidance midpoint of $265 million is $16 million higher than normalized 2019 actual results, and includes the aforementioned $10 million to $15 million of startup costs for the California Medicaid pharmacy contract.Now, I'll provide commentary on specific drivers of our 2020 guidance for each of the individual segments, beginning with pharmacy. For our pharmacy management segment, we're expecting 2020 revenue to be up slightly from 2019. Solid PBM net business growth is expected to be mainly offset by the termination of a Medicaid fee for service contract and a reduction in our Part D membership. We expect the 2020 segment profit margin in pharmacy as a percentage of revenue to be modestly lower than in 2019, largely due to the startup expenses related to the new California pharmacy benefit administration contract.For our healthcare segment, we're projecting revenue to be up slightly year-over-year in 2020, as net growth within the existing Magellan Complete Care states is expected to be mostly offset by net behavioral and specialty health contract losses, particularly in the business where we provide staffing solutions to the federal government. Segment profit margins within healthcare as a percentage of revenue are expected to be modestly higher than for 2019. This year-over-year expected increase in margin is driven by continued execution against our cost of care initiatives within Magellan Complete Care, rate increases in excess of cost of care trends, as well as segment profit impact of reinstatement of the health insurer fee. 2020 corporate expenses, excluding stock compensation expense, are expected to be approximately $3 million lower than for 2019.Now, turning to other items in our forecasted earnings, 2020 stock compensation expense is expected to be approximately $29 million. We project depreciation and amortization expense to be about $122 million in 2020, and we expect to incur interest expense of approximately $34 million, and to generate interest income of about $14 million in 2020. The effective income tax rate for 2020 is projected to be approximately 44%. The effective rate is higher than the federal statutory rate, primarily due to the inclusion of state taxes and the non-deductibility of both the health insurer fee and a portion of executive compensation under the 2017 Tax Act.Capital investments for 2020 are expected to be approximately $100 million dollars, which is higher than our historical investment levels, primarily due to the investment supporting implementation of the Medi-Cal contract for pharmacy. The 2020 EPS and adjusted EPS calculations are based on our estimate of 24.9 million fully diluted shares for the year. This estimate contemplates the impact of share repurchases and option exercises through February 21, 2020, but does not reflect any potential future activity. In 2019, we repurchased approximately 61,000 shares for $3.7 million. We have $186.3 million remaining in the current share repurchase authorization that expires on October 22, 2020. The face of any future repurchases will vary based on a variety of market and company considerations.In closing, we ended 2019 with solid fourth quarter results, and I believe that our 2020 guidance strikes a good balance between current earnings and the necessary investments to establish a strong foundation for growth and margin expansion in 2021 and beyond. I look forward to discussing our progress in these initiatives on our first quarter call.And with that, I'll now turn the call back over to Ken. Ken?
Ken Fasola: Thanks, Jon. Before we move to questions, I want to take the opportunity to share a few close closing comments. I'm excited and honored to have the opportunity to guide Magellan in our mission of leading humanity to healthy and vibrant lives. I see tremendous opportunity for our businesses to grow and thrive well into the future. And as I said the first time I had the opportunity to address you, I believe great companies, while defined by their leaders, are in fact built by their people. We have a strong leadership team in place that's been bolstered with the recent additions of Jim Murray, Magellan's new President and Chief Operating Officer, and David Haddock, Magellan's new General Counsel.The 2020 outlook shared today strikes a balance between current margins and the necessary investments for transformation that will build the foundation for future margin expansion, earnings growth, and value to all our stakeholders. Delivering sustainable, industry competitive margins across our businesses remains a clear strategic priority for Magellan.With that, we'll now open up the phone lines for questions.
Operator: [Operator Instructions] Our first question comes from Dave Styblo with Jefferies. Your line is open, sir.
Dave Styblo: Hi, good morning. Thanks for the questions. Ken, great to hear your thoughts on the near-term priorities. And maybe I'd start with that, if I could. I know you talked a little bit about doing a portfolio review. I'm curious if you had any early learnings of pieces of the pie that maybe just don't fit in the context of you can't do all things for all people. And certainly heard your comments there about revitalizing growth in behavioral and specialty. I guess the challenge that investors have thought of is behavioral business might be in a secular decline, but maybe that's more in the state government side, and not so much on the payer side. So maybe you could flush out what you see as opportunities to help integrate that. And I'd assume this would be for clients that are maybe small or mid-size payers, as opposed to the larger ones who likely have some of these services in house already.
Ken Fasola: Great question. Thank you. Let me start with the last piece because as we spend time thinking about where our opportunities go forward, there's no question that behavioral and specialty costs continue -- not only plague the system more broadly, but represent a real opportunity for innovation and integration. So I think that if you think about the idea of being a special teams player at the table as part of an integrated delivery solution where risk bearers are looking at the total human -- I mean, thinking about the patient holistically, there's an opportunity for us to regain a seat at that table and leverage years of real experience, local and distinctive capabilities to augment emerging digital technologies to provide a more fulsome solution set. And so I think we perhaps self-inflicted maybe or you know, kind of steered ourselves away through the boat out of some of that turbulence. And I think there is an amazing opportunity to steer Magellan back into the conversation and become a vastly more integrated player with payers of all sides, candidly, because I don't think this issue is necessarily been slayed yet. And by virtue of that creates enormous opportunity for organizations with sovereign and distinctive skills, similar to those we have here at Magellan.So I really think and, you know, the under investment that's been kind of a byproduct of our pivot towards MCC, and Magellan Rx, while those businesses have grown, I think created great opportunity for upside as we focus forward. Our early work in and around transformation, executing and honoring our commitments, has really taken priority and so to your first question around what may or may not be deemed as non-strategic; that portfolio analysis I described is well underway and I think in future calls we can bring more clarity to the specifics that are necessary as I said to demystify Magellan and reduce the degree of complexity and add clarity to our business model.
Dave Styblo: Okay. And are there other businesses that you're not in right now that you think would be a good fit and logic as you're pursuing the growth strategy ahead?
Ken Fasola: No, I don't see any businesses that were not in. I think that, you know, look, that the integration that's necessary and the reality that -- the link between behavioral and physical is well documented. I think the real opportunity for us is to demonstrate -- if you're in the Medicaid business, often times it's behavioral that drives physical as we move into our -- the senior market. It's clear that often times it's the physical that drives behavioral, and I think that's where the real opportunity is. And while we have -- as I said, you know, amazing, distinctive and long-standing sovereign skills; I also think there is an opportunity to leverage many of the new and emerging technologies to create a more comprehensive end-to-end solution. And I think you'll see this in terms of how we refresh and grow our products.Now, I talked about businesses; I do think there are high cost areas and it's hard to say anything's unmanaged but there are certainly those that are under-managed; we see great opportunities as an example in oncology. So there are -- there are I think areas that where we have great experience in managing complex care that we can leverage that in other emerging high cost areas.
Dave Styblo: Okay, great. And then, Ken, when you stepped in, you sort of inherited a team that had set and established net income margin target of 2% plus in 2021. You guys providing a lot of information today haven't had a chance to refresh the bridge kind of in my mind real quick, but I'm curious what your assessment of the company's ability to achieve that or is that something maybe that gets pushed out because the investments that are happening in some of the transformation and initiatives are going through. And perhaps longer term, what do you see as a target -- net income target for the company over the -- you know, call it the next two to four years, three to five years something along that horizon?
Ken Fasola: Yes. I'll let Jon add to this as well. You know, he's obviously got a little more time here at Magellan than I do. But I can tell you early on and I think it's evidence, hopefully you've picked it up in the script and as you'll see as we move forward through the balance of the first half of this year, I'm keenly focused on execution and getting the company organized and focused to build momentum. The level and range of things we're contemplating, both in the transformation office; and again, transformation is not just around process improvement, it's about rebuilding muscle memory around business development and strengthening our ability to move with speed. So this is about execution and momentum that I think you'll begin to see the real benefits of as we move through the year. And I think that will inform and will take that momentum into '21 and '22. And I think you'll see that reflected in the value that's created as a byproduct.Jon?
JonRubin: And Dave, let me just add to that a bit in terms of the financials. First, we're obviously not ready to give guidance on 2021 at this point. Having said that, I've mentioned a couple of things. One, as Ken alluded to earlier, we see substantial growth opportunity in behavioral specialty through the work that we're doing to sort of reinvigorate the portfolio, the distribution capabilities for the business, etcetera, that hadn't been previously contemplated. 2020 is an investment year for us, and relative to our past plans what I'd say is, we're investing more for the long-term, it may, from a timing standpoint, mean that we're not making as much incremental progress in 2020 and things like some of the efficiencies but we're gearing up really to be able to drive more sustained and larger improvements longer term. So, the way I characterized it again, it's not yet to give sort of specifics for 2021 but believe that with the transformation office, which you know, over the next couple of years we think can drive more than $75 million improvement; I think we can get to the 2% margin and beyond, but we'll -- in the subsequent quarters report more specifically on what we believe the pace of that improvement will be.
Dave Styblo: Okay, that's helpful. And then, lastly, maybe back to Ken. One of the comments that you said for the near-term priorities again was just a promise -- promises that you want to make and execute on. I'm curious has -- have you had a different approach perhaps to help guidance's built up for this year in terms of feeling, like the numbers are particularly conservative and that you guys have room to navigate through any challenges or hiccups that come along the way? Is there any change in how you guys go about setting that and perhaps leaving yourself some opportunities to create some upside overtime?
Ken Fasola: I think -- excuse me, I'm recovering from a long cold, and nothing more than that for anybody in the room. But the -- as I said earlier, my primary focus coming in, I said to the management team, actually to the board early on that I was going to be focused on cultural -- culture, strategy and execution. And when I arrived here, they want I flipped that to execution, strategy and culture, which is evolving really, really nicely. I think Magellan has a real opportunity; when I say that we're going to honor the promise, you know, we want to make promises that we can keep, moving on honor the commitments we've already made. You know, we have to be able to execute to our commitments each and every day. And you know, we are a bit behind in a couple areas, and I refer to that when I said, we maybe underperformed our own expectations and those of others in the script.And so, my real thinking here after a 100 days; one, I'm extraordinarily enthused about the opportunity to build momentum as we move further through the year, the team is engaged and digging in, the work that Jim has done in just the first five weeks, not only identify workstreams but to put [indiscernible] and scope them, to name leaders and create a path forward, we're already beginning to see the acceleration in the pace with which we can execute around these opportunities. And so I think -- I think you'll start to see that momentum in future calls, and then you can draw your own conclusions about what that's likely to mean in terms of upside. But, you know, I'm -- again, as I said, it's a focus on action and orientation, around execution and revitalizing our growth engine, and the business development opportunities that will follow I'm certain will be meaningful.
Dave Styblo: Okay, thanks. I'll step back for others.
Operator: Thank you. And our next question comes from Kevin Fischbeck of Bank of America. Your line is open, sir.
Kevin Fischbeck: Great, thanks. I guess a few questions. First one; in the press release and the call so far, you've talked a lot about kind of growing the behavioral and specialty business, you guys specifically signaled that. I wasn't sure if that was just more to kind of address maybe a change in how the company talked about it or it's the perception of the market, or whether that was in any way a signal of kind of your view about the growth in the Medicaid or the pharmacy businesses. So I wasn't sure if you were deemphasizing that opportunity in some way to the negative or whether it was really just about that, that -- that opportunity is still the way that the company is talking about historically, we're just talking about behavioral as being a third kind of growth driver. So any color there?
JonRubin: Thank, Kevin. And I'm thrilled with the great work that's been done in MCC, and then year-over-year a momentum is high priorities in terms of sustaining that through 2020 and beyond. And so, my comments were not intended in anyway to shape or form to suggest that we're pivoting away from our prior strategy with respect to our RX businesses, and/or MCC, quite the contrary. What I think is that, you know, the challenge is facing risk bearers [ph] and by virtue of those we serve in and around behavioral and specialty health are continuing to grow. I think it's just a big rock and I think it is a great opportunity to leverage sovereign skills, distinctive competencies, and emerging technologies to rapidly reinvigorate a business that frankly, we've kind of taken our eye off of a little bit. So again, in no way suggesting that that's expensive, either the other business is quite the contrary, in addition to.
Kevin Fischbeck: Okay, great. And then, I wanted to understand because again I appreciate the commitment to delivering on promises and I guess one step towards that would be this 2020 guidance. And in particular, that might help at least certainly the street be able to gauge your execution to get that will be to get a little bit more color, maybe on a seasonality for this year because it sounds to me, if I have this right, you guys are investing -- you know, I don't know, I guess $15 million on this transformational dynamic which is going to -- I guess, be a drag in the first half and then be a tailwind in the second half. And then, trying to extend the pacing of the $15 million in costs around the Medicaid contract; is that more in the back half? Just trying to understand some of these kind of one-time things and making sure that we understand the progression so that we -- we can kind of judge how you're executing through the year.
JonRubin: Yes. Hi Kevin, it's Jon. A couple of comments. So first, on just the overall seasonality; I think you have the general sequencing right, meaning that the transformation benefits will be weighted more towards the back half of the year, therefore, we will see higher than sort of the proportional earnings in the second half of the year. And, and again, you know, we've had -- if you look back at our history, you know, a pattern that's varied but has been generally more back half weighted. So if you look at -- whether it's last year when we had improvements in MCC in the second half of the year, or going back a few years; I think you'll see the similar pattern of -- something in the 40 percentage wise in the first half and a higher percentage of earnings in the second half. Relative to California in the $10 million to $15 million, we are -- you know, it is a massive implementation; I mean, it's the largest pharmacy benefit administration contract by a wide margin anywhere. So, it is -- we have already started the work and it have already started to bring people on board.Having said that it does ramp up as the year goes on, but I wouldn't -- relative to our overall seasonality view that as overly material in how it weights, you know, the total enterprise numbers but we'll be -- again, as I mentioned with the overall seasonality somewhat higher weighted in the second half of the years as we continue to build staff to be ready for implementation.
Kevin Fischbeck: Okay, great. And I guess when you think about that -- that the investments you're saying this year, net neutral, next year add 30, the next year add 75 is the way to think about that? Are those actual good numbers or it sounds like you're also making a lot of investments, should we think about any of these savings being reinvested in the business or those are kind of net numbers that we should expect from a contribution perspective?
JonRubin: Yes. I mean those are our estimates right now for net numbers. So that already does net out any incremental investment in those years as well.
Kevin Fischbeck: Okay. So I may have missed it. There might be another new launch in there but I think you said something along the lines of -- that if you had pro forma the full savings year, it will be at $350 million to $400 million number. I think your guidance this year is $250 million to $280 million; so that would be like $325 million to $355 million. Will you -- were you putting that on the 2019 numbers or were you putting that on the 2020? Is there another component in there?
JonRubin: Yes, I know. There is really two components. So the two components are for transformation, you know, again, well -- we've got a $15 million investment this year that we think will be net neutral in 2020 with the benefits we get in the second half of the year. So, the full run rate when everything's implemented will be positive $75 million. So you look at that as kind of plus $75 million. And then on medical, for Rx; we have a net investment of $10 million to $15 million this year which obviously won't repeat. And then we said, that would produce revenue going forward of $75 million to $80 million at typical PBA margin. So, it's really the combination of those two; it's the elimination of the one-time investment this year in Rx. The benefits of that revenue and earnings stream going forward, and then, the $75 million in net benefits that we ultimately get on transformation.
Kevin Fischbeck: Okay, so it's adding [indiscernible]. Okay, that makes sense. And then maybe last question; it sounds like you're bullish about the growth opportunities here, and I guess all of your businesses but you haven't really grown top line in a little while now. So trying to understand how we should think about that the pace of that reacceleration? I mean, excluding California, which we are -- I guess we already know about, like how does the selling season for next year look? Do you guys expect to see PBM top line growth next year or this something that these investments are really more about 2022 with that perspective? And then, the same thing I guess on the MCC side, you know -- should we be expecting growth or is this more about kind of a multi-year before we expect real top line growth?
JonRubin: Yes, let me start and then, Ken can add color, Kevin. So first in terms of the growth prospects for PBM, they actually continue to be quite good. I mean, we're seeing very solid growth in the PBM this year and sort of the core PBM business that, you know, again, as we mentioned there were some one-time losses that partially offset that. Going forward though, we obviously have the California PBA contract coming in, that will start to both, have revenue and earnings next year, and expect to have strong continued PBM growth, as well as on the specialty side. So we think that will be good. If you recall, on MCC -- we consciously just given sort of the operational initiatives we had in place to drive improved profitability and to fully digest the very rapid growth we've had over the last few years, did not actively pursue any large new implementations over the last year or so. We are now actively working a pipeline and again, while I can't predict what '21 and '22 will look like, we certainly view that there being significant growth opportunities there.And then, on behavioral specialty, you know, as we reinvigorate the portfolio; while 2020 we're not seeing yet the large opportunity that we believe is there from a potential standpoint, we do think beginning in 2021 and beyond, we'll have ample opportunity to capitalize on the investments we're making. And Ken, I'll let you talk maybe a little bit more about some of those revitalization efforts.
Ken Fasola: Yes. Thanks, Jon. You know, when I -- we talk about transformation, I think, it's -- the natural inclination is to think about process improvement and clearly, a lot of the workstreams are oriented around accelerating the pace with which we get at platform consolidation and automating processes that -- we're going to drive efficiencies and margin improvement that I think had have -- with the pace of which we got lot of that stuffed in the last year sort of slowed. We're perspective -- but there is a second side of the transformation agenda which is tied to grow, so we have -- you know, Jim Murray is leading the transformation workstreams that are tied to process improvement, I'm leading the transformation workstreams tied to growth. We're close to being -- we're going to name a Chief Growth Officer, which I think is going to help me with accelerating the pace with which we assess and evaluate our capabilities across the business development continuum, you know, from source through sell, retain, upsell, cross-sell; we get lot of existing revenue from traditional relationships and that's why honoring current commitments is so important as we think about building revenue in the short-term.Also, look, there are environmental issues out there that are affecting our competitors, many are struggling. And there is a tremendous amount of consolidation which creates short-term opportunities that will help fill the pipe. And I think that will buy us time as we work aggressively to create the kind of value proposition that we can leverage and build growth towards '21 and '22. So, I think -- as you'll see, I referred to this somewhat in the script, but you watch our actions with respect to leadership, leadership development, and laying in talent. We've concentrated, we've added -- we've augmented existing talent with a number of new folks inside Jim's organization; and now we're moving to strengthen and augment talent inside of business development, and I think you'll see the byproduct of that as we move forward.
Kevin Fischbeck: Great, thanks.
Operator: Thank you. Our next question comes Scott Fidel with Stephens. Your line is open.
Ken Fasola: Scott, you may be on mute.
Scott Fidel: Sorry, guys, can you hear me?
Ken Fasola: Oh, yes. It came now.
Scott Fidel: Okay, good morning. And Ken, nice to catch up with you today. First question for you guys is just wanted to clarify on the update on the behavioral cost trends, and relative from the 3Q to the 4Q, sort of sequential dynamics? So just wanted to get a sense; so you had the cost bump in the third quarter, I know you guys mentioned in the prepared comments that you didn't see any additional cost pressure. So is it basically that rolling forward to 2021 that the 3Q sort of uplifting cost out that's the new baseline from which you were pricing for 2021 but you didn't see any additional incremental increase in cost right in 4Q?
JonRubin: Hi Scott, it's Jon. I would -- I think you characterized it accurately, we haven't seen any additional pressure in fourth quarter, the run rate has been similar to third quarter. So -- and again, as we've talked about in previous -- in the previous quarter, you know, we saw this uptick that really started to occur this year, there were some changes in certain populations that we were covering which did establish that new baseline. So that is what we're carrying into 2020 into this year. Now as we mentioned, we did achieve customer rate increases that we were targeting so that essentially did cover the increased demand we're seeing because of the market and specific population drivers we're seeing within our book.Having said that, we're continuing to implement action plans to mitigate cost of care, so it's not like we're accepting the higher baseline. We've got a number of initiatives on concurrent review for inpatient stays, looking at recontracting so that we're able to best control those costs going forward as well, from a structural standpoint. And other targeted initiatives within the network to fine-tune the network to be able to drive both, adequate access and reduce costs. So that's kind of the quick snapshot I'd give [ph].
Scott Fidel: Got it. And Jon, can you put any numbers around that to help it frame in terms of where was your view on trend sort of going into 3Q for behavioral and specialty trend? I know that there is different sort of businesses within that but it sounds behavioral was sort of the key cost driver. So, sort of where was behavioral trend going into 3Q? And then, where did you put your estimate of it currently entering 2021 in terms of what type of trend your pricing to [ph]?
JonRubin: Yes, that's a great question. So I would say historically, Scott, we've seen mid-single digit trends, really both on the behavioral and specialty side. I mean, there is always going to be some on the specialty side, some puts and takes depending on the specific categories of care. We did see that spike in 2019; so that -- the behavioral trend crept up higher, call it high single digit type of trends versus what we had historically seen. In our pricing, we're really pricing for the higher levels of trend to largely continue -- again, with some offsets that were driving the improvement plans around the cost of care mitigation to the extent that, you know, trends return to historical levels that -- that does provide some upside, but we're not counting on that in terms of how we price the business.
Scott Fidel: Got it. And maybe to bring Ken into this as well, just along those lines of having seen this uplift in the behavioral and specialty trend in terms of where you guys are enterprise the business for. How does that factor in at all to -- you know, the focus on driving growth in that particular end-market right now? As you have seen cost trends rise, you needed to, sort of increase pricing for the customers as a result.
Ken Fasola: Yes. Scott didn't reconnect to look forward to seeing you a long way. You know, I'll build on where Jon was going to be taking a slightly different perspective. You know, as part of the opportunity to revitalize our behavior and specialty businesses, there is a huge opportunity to leverage data analytics we can mine for clinical insight to try to get ahead of a lot of this. You know, sited service is just such an important component and timing related to when we intervene, you know, particularly in our Medicaid business; so, if we can continue to work to identify high risk populations and get in front of them sooner, we can mitigate the impact of utilization down the road when things sort of spiral out of control, you know, too late in the process. So I think, we have a great analytics team here, and we've demonstrated through our cost of care improvements in Virginia and our other MCC states that we've got competency here. And so I think, that there is an opportunity to leverage data analytics and it will be -- and it's also -- I think a byproduct we talked about innovation lab, which we were starting. So I hope that helps.
Scott Fidel: Yes. And I just had one other question on the -- sort of refocus on BH and specialty, and just interested in your thoughts on the competitive environment in that end-market right now. I know, Ken, in the prepared comments you talked about -- it looks like you see a bunch of targeted opportunities to get into that space, more in a differentiated way. At the same time, from our end, we certainly have -- hear all of the larger national MCOs talking about investing more in the specialty markets and driving more incremental margin and more incremental growth in specialty; so interested in how you juxtapose that in terms of what we are hearing from a number of others is an increased focus on specialty markets as well.
Ken Fasola: Yes. Actually I -- I'm -- I think that word, that focus is a positive trend for us because, again, it's -- it ties directly to legacy and -- I said sovereign, but you know, long standing distinctive competencies in areas that I think we can add real value. I think we got to change the nature of the way we build contracts, the nature of the way we think about -- now that we've demonstrated an ability and acumen to bear risk, how we think about changing the nature of the conversation we have with existing past and future customers. And -- again, it's not carve out, it's really carve-in, it's bring Magellan to the table as a special teams coach and one of the -- you know, an important view around value-based care and managing the whole individual, I just -- you know, I think when the return that we can provide exceeds what those companies can achieve on their own, independently, and I think a lot of them -- while there is definitely directionally a desire to invest, we want to be a good partner, and we can share in that. And so, I'm getting a good response Scott to those conversations in and among my peers, and I think it just changes the nature of the way we think about how we pitch ourselves and how we position ourselves from product development standpoint.And, you know -- and we let our value proposition slip in a little in some ways over the last year or so. And I think invigorating that and again, coupled on the conversations I've had with my peers who suggested they're not necessarily satisfied with the progress they're seeing, it creates a real opportunity for a different kind of relationship. So, it's -- you can't think about it in terms of the way this business used to be, it's really about changing the narrative in the paradigm as we move forward. And again, as I said, I'm getting a good response to that and eager to see where that can go.
Scott Fidel: Got it. And then, just one last question for me. Ken wanted to give you just an initial opportunity to talk about your priorities for capital deployment; it sounds like -- obviously, it sounds like reinvesting in the business seems to be that but I don't want to put words in your mouth, maybe you want to talk about, sort of priorities between reinvesting in the business, M&A, and then, returns to shareholders in terms of buybacks?
Ken Fasola: Yes. We've -- first one of the early workstreams was to step back and take a long hard look at what we've done in the past, so we can mine that for insight to ensure that the decisions we make going forward and around how we deploy capital, align directly with our strategy. Again, I spoke to the opportunity to demystify but the fact is, is that when we're looking -- we are starting with how we add value to our customers, and it goes back to the kind of partnerships I talked about. Jim really laughs at me because I say I'm the king of worthless analogies, but you know, I can get in Dale Earnhardt race car, but I'm not going to win the Daytona 500, right. There is a lot of amazing new and emerging technologies out there that frankly, don't have the benefit of our experience, the size and scale that Magellan can bring, and only get to a certain point in the care continuum, and then have to hand it off. And I think the ability to think about how to work in an integrated fashion and weave ourselves into that in ways that can be impactful will inform the kind of decisions we make early on about what we invest in, particularly with respect to strengthening our digital capabilities, targeted investments, along that care continuum.And that aligned very closely with our strategy going forward as we think about strengthening the business around managing complex care at a time, particularly with respect to behavioral and many of these specialties where costs are increasing at an extremely rapid rate. So as I said earlier, it's a big rock, I think we have an opportunity to crack in a way that can be meaningful. And I think you'll see the capital, strategy and deployment of investments we make going forward aligning very closely with that strategy across each of our three businesses.
Scott Fidel: Okay, great. Thanks.
Ken Fasola: Thank you.
Operator: Thank you. And I'm showing no other questions from the phone line at this time.
Ken Fasola: Great. Well, listen, thank you all very much for joining us today. We'll look forward to our next call and discussing the progress we're making through the next quarter. Thank you.
Operator: Thank you for your participation in today's conference. You may now disconnect at this time. Have a wonderful day.